Philippe Berterottière: Good morning, ladies and gentlemen. Thank you very much for joining us for this presentation on the 2024 results of GTT. With me, there is Thierry Hochoa; the group CFO. There is Clemens Gremov, who is Head of RC. There is Jean-Baptiste Boutillier, who is VP Innovation, there is Anouar Kiassi with DP Digital and in charge of Ascenz Marorka. There is, of course, Jean-Baptiste Garnier, who is investor relationship that you know very well. And we have also the chance to have some other fellows from GTT. We have Karim Chapot who is VP of technical for GTT. Well, I would like to start with some key highlights of year 2024. The core business order book amounts to EUR1.9 billion. So, it's a very high level with 332 units. For LNG as a fuel, we have an order book of 50 units, amounting to EUR48 million. In 2024, our revenues amounted to EUR641 million, which represents an increase of 50% compared to 2023. The EBITDA amounted to EUR388 million, which represents an increase of 65% compared to 2023. The free cash flow amounted to EUR338 million, an increase of 54% compared to the year before. And we are going to propose to the shareholders' meeting a dividend amounting to EUR7.5, which will represent an increase of 80% compared to the year before. Some of other key highlights. I would like to say that 2024 is the second record year for GTT after 2022. We are still considering that there are many energy cars to be ordered for the projects, which are currently under construction. We expect new FIDs in 2025, particularly in light of the American context. 2024 has been a quite remarkable year on market, but maybe you don't look at so much it's the Ethane Carriers because it has been the first year we sold ultra-large Ethane Carriers. It has been, in fact, the very first Ethane Carriers sold by anybody. In 2024, we obtained plenty of AIPs authorization in principles. For in principle, from classification societies. And you know that's important landmarks for the progress of our innovations. And also, in terms of digital solutions, our new services such as weather routing or real-time fleet performance have increased significantly, and we've opened up a new center for monitoring that, particularly in Singapore. If we look at our order book, we can see that with -- we have 306 LNG carriers to deliver, a weaker number. 16 VLEC and ultra-large Ethane Carriers, while still 3 FSRUs, 2 FLNG, 5 Onshore tanks, so quite large order book. And now I will hand over to Clemens Gremov.
Clemens Gremov: Thank you. Hello, everyone. So, 2024 was the first year of GTT CSR road map, which was disclosed last year in February and highlights our ESG priorities for the next 3 years. I'll now share with you some of the updates and achievements of the year, starting with the environment. So now GTT has a GSG emissions reduction trajectory, covering Scope 1, 2 and 3 targets which is by 2033. Consequently, this year, we've been working closely with the innovation departments to further integrate climate issues in the innovation processes, notably in the project management on intellectual property. From a social standpoint, we have updated our health and safety policy to make it more comprehensive and in line with the business dynamic. We've also rolled out several trainings on environmental and social issues to ensure that we embed corporate social responsibility in the corporate culture. And lastly on gender diversity. We have pursued the actions that we initiated to promote careers in engineering and hire additional women, which led to an increase in the percentage of women in a total workforce at year-end. With regard to business ethics, we have reaffirmed our commitment to continuously improve our business ethics and anticorruption program with the renewal of the ISO-371 certification and the adoption of a new ethic charter. Lastly, when having a look at the extra financial performance, you can see that we have increased the Etifinanc and Socinetics ratings and have been confirmed B, at the CDP Climate questionnaire, therefore, rewarding our efforts and ambition in terms of climate. I'll now hand it over to Jean-Baptiste Boutillier, VP Innovation Director. Thank you for your attention.
Jean-Baptiste Boutillier: Good morning, everyone. Thank you, Clemens. So, for the Innova -- sorry. For the innovation road map, it covered vast domain. So first, for the core business, we are dedicated to further reduce the CO2 footprint of the LNG, which is carried by sea. To do so, we are innovating with new containment system for LNG as a cargo. And we also innovate with new design of vessels to transport LNG. So, our innovation is inside the tank with new tank design but also outside of the tank. For LNG-as-a-fuel business, we are dedicated to offer the best technologies for alternative fuels. Beyond the LNG, we designed new digital solution to improve the operational efficiencies of the vessels across all the maritime segments. We continue to invest in our in-house R&D to support the development of our cutting-edge technologies. In addition, we also invest in innovative companies with our venture capital. To support the GTT business model, we are still very active on the intellectual property. In 2024, we filed 62 new patents. And among them, 24% were on green subject or green projects. In addition, we took four new minority stakes in innovative start-ups. Now let's focus on our latest developments. As I was saying a few minutes ago, we are active on new LNG carrier design and rebought to the market innovative LNG carrier design with a capacity of 200,000 cubic meter with an optimized speed. The purpose is to deliver annually the same amount of LNG with larger vessels with an optimized speed. Thanks to this, we are able to reduce the CO2 footprint of the LNG, which is delivered by 20% and we are also able to reduce the unit freight cost of the LNG by 5%. Thanks to an improved surface to volume ratio with the same technology as a standard vessel. We are able to improve the overall performance of the vessel and to reduce the boil-off rate of the containment system. This design, thanks to the three identical tank came with the same CapEx as the standard vessel of 140,000 cubic meter. And this design received approval in principle by two major classification society, LR and BV during GasTech in September last year. As Philippe was saying, we also received the first order of ultra large Ethane Carriers. Our membrane technology enable to increase significantly the size of the Ethane Carriers. So, we moved to a standard design or size of 100,000 cubic meter to 150,000 cubic meters. And this new design come with some additional value. The first value is increased cargo capacity with a better volume of occupancy. We are also improving the EDI, the energy efficiency design index, so would reduce the EDI thanks to lower CO2 emission. Our membrane technology is also compatible with several type of cargo, ethylene, propylene, but also LNG. And finally, thanks to the lighter design of our membrane technology, we have reduced design drafts, which implies reduced fuel consumption and reduce CO2 emission. So, our on-brand technology makes possible this design of ultra large Ethane Carriers, which reduced the CapEx, the OpEx, but also the CO2 emission. I now leave the floor to Philippe for market updates. Thank you.
Philippe Berterottière: Thank you very much, Jean-Baptiste. So, a market update, we are evolving in a very active markets and our capacity to innovate is the best guarantee to cope with the evolutions of these markets. So first of all, I would like -- we spent just a short moment on this map. Where we see where energy is produced and where LNG is burnt. And between the two, you have ships, as we know. And we can see the shipping intensity according to the routes that ships are using. And you can see that between Gulf of Mexico and Northeast Asia, if you cross the Panama Canal, you need 2.2 ships to deliver 1 million tonne per annum. If you pass by the Cape of Good Hope, you need three ships to deliver 1 million tonne per annum. So, it makes a big difference. And the locations of the new LNG plants will determine where -- how many ships will be needed in the years to come. We wanted to clarify that in order for you to better assess what may be the demand of ships in the years to come. Well, on this slide, I would like to spend a moment on the evolution of the global energy mix that we can see on the left-hand side part of this slide. So, here we are talking of percentage. We can see that coal in percentage is very significantly declining. Even though in 2024, we never burnt as much coal as in this year. We can see that LNG is still a small energy. And we can see that very well with the chart on the right-hand side of the slide. We can see this is the Chinese energy mix. While we say that coal is still a very important energy in this country with 54% of the global energy mix. LNG is representing only 2% of the Chinese energy mix. But with 2%, China is the largest importer of LNG. It shows you that, in fact, the potential of LNG is quite large. LNG is much cleaner than any other profile fuels. And -- but it's still representing a fairly small energy worldwide or in countries where coal is heavily burned. It's a case of Korea, it's a case of Japan, of Indonesia, of India, where coal is still playing a very important role. And in these countries would like to reduce their CO2 emissions. They've got to rely far more on other energies and entirely on LNG. Well, the expectations from large players, such as BP or Shell about the evolution of the LNG demand are fairly bullish. We can see that on the left-hand side part of this chart. And they expect a 5.7% average growth over the years to come, which is, I would say, very significant. The gap between supply and demand by 2030 should amount to something like between 140 million and 210 million tonnes per annum. So quite large space for increase in -- for LNG. So, all that, if we look at the requirements for ships, we can consider that for energy plants under construction. There is still a need of about 75 ships, which have to be ordered. So that's an account that we keep you aware of that regularly following what's going on in the market, and we still consider that there are still plenty of ships to be ordered. Many projects are in the offings should be decided in 2025, 2026. We are considering that some may be decided fairly quickly in 2025. Some will come a bit later but many are considered are working hard to be launched, and you have here the list of these. There is another factor for LNG carrier orders, which is the fleet replacement. We see in the recent years, and you can see that on the chart at the center of the slide that the scrapping is quite important. It has been quite important over the last 4 years. And already this year, we saw some shapes already scrapped. So, scrapping is something, but in fact, many ships may still be in operation or at the anchor waiting for better conditions. But in fact, they are not in the premium market. So, these factors will continue to drive the demand for LNG, mainly pushed by the economics of these ships and also by the regulations. Well, let's now have a look at quite interesting market. I don't know whether we talk to you enough. This sees the ethane market. Air shapes are not transporting energy, like LNG. They are transporting a feedstock for the chemical industry. We were the first 10 years ago to design and sell very large ethane carriers with 90 cubic meters capacity. And we were active in this market over particularly last year, we sold 12 ships with -- for the ethane market. So, it has become something very active. 12 ships, including ultra large ethane carriers with 150,000 cubic meters. That is coming from shale gas. I will not like to be too long, but that is coming from shale gas where you obtain methane, but you obtain also a lot of ethane. And that has in a certain way, we revolutionized the competitiveness of the American chemical industry. And -- but there are so much ethane that they now export this ethane to Asia, China, India. And of course, they need ships for doing so and plenty of ships. Maybe they have to take the long route passing by Cape of Good Hope. Our long-term estimates, we did not change our long-term estimates, even though year 2024 has been the second record year for GTT. So, we still see 450 units over the next 10 years. we'll still see between 25 and 40 units for ULEC and VLEC Ethane Carriers. Even though last year, we got 12 of them. By the way, we got already 6 Ethane Carriers this year. We still see 10 units over the next 10 years, even though we got two last year. And we see up to 10 FLNG for the next 10 years, we got one last year. And we see 25 and 30 onshore tank or GBS over the next 10 years. So, some market update. First of all, the LNG-as-a-fuel. First of all, I would like to draw your attention on the graph here. And you can see the very steep increase between 2023 and 2024. So, we are keeping on talking about LNG-as-a-fuel for 10 years. And finally, it's taking off we can see that. And it's a very good news, very good news for shipping, very good news for the planet. That has started. I will not hide the fact that we are facing competition from different technologies Type C, Type B. We think that it may be simpler these technologies for shipyards. They can lift the tank, they can put the tank in the ship simple. But in terms of economics for the shipowners, we keep on saying that and thinking that membrane, it's a better design. So, we have to convince we have to further convince ship owners about that. We have -- and we have to further improve our advantages. But one good point, LNG-as-a-fuel has finally started in a very significant manner. So, in order to further convince people, yards and owners, we are keeping on improving our solutions. The one bar go to technology, our tanks, which are normally operated at something quite close to the atmospheric pressure can go to one bar pressure. We have designed a very smart, very elegant we liquefaction system, named Wizzy Cool. We are selling them, and we are keeping on working on that in order to play a larger role in this segment. A last point on that. Whenever there are 20 LNG-fueled compnurships order that lead to one energy carrier in operation. So, in fact, we have a vested interest in the development of the LNG-as-a-fuel industry. So, for market update, I will call Antoine.
Anouar Kiassi: Thank you, Philippe. Good morning, ladies and gentlemen. GTT has developed a large portfolio of services to support our customers and prescribers in the value chain, and that starts from the very, let's say, early stage with engineering consulting studies, for example, for the preproject, engineering studies to retrofit existing assets or build scenarios for future investments. And during the construction, GTT has always been very involved into supporting the shipyards and the -- also the whole value chain to make sure that we have a seamless construction of the assets with the highest industrial standards. During operations, and especially in the last years, the demand for highly qualified personnel has been very, very high. And GTT supports that with a very demanded and special and quality training. And during the whole, let's say, operations of ships, GTT support, again, the players for operations like bunkering, for the commissioning for the ship to ship, also providing a hotline for emergency requests. And during the maintenance, of course, we have a key technology to check the health of the membrane and of course, supports the maintenance to fix whatever needs to be fixed. And last and not least -- but not least, of course, we developed a large portfolio of digital solutions that I will describe in more details in the next slide. So, to summarize, GTT is deeply involved in the whole value chain. And that helped us, of course, continue to develop this unique expertise that we have and hold a key position, a key critical position actually in this very important value chain. Ascenz Marorka is the digital arm of GTT, and we have two missions. One is to enhance the core business by supporting GTT core business. And that goes from improving the technical, commercial environmental performance of ships because beyond the technology, the role of the personnel and the offshore and the onshore crew is very important to make the best out of the technology that we deliver. We also contribute to improve the adoption of the GTT technology, for example, by helping managing critical phenomena like sloshing and boil of gas. We optimize the overall cost of ownership of the LNG tank membrane tank. For example, with the sloshing virtual sensor that improves or reduces the cost of maintenance by extending the inspection period for the LNG tanks designed by GTT. And last, we also have our internal center of excellence for artificial intelligence that supports our customers, but also our innovation with data-driven digital technologies. The second mission, of course, is to develop what we call Smart Shipping business. And that covers all types of ships, beyond LNG carriers or LNG ships. And the value proposition there is quite, I would say, clear. The first one is the lowering the cost of the customers. This is the most important aspect for them, of course, helping to reduce and report on the emissions, improving the safety by introducing, let's say, best practices into the passage planning of the ship and this talks in particular to the masters of LNG carriers and other top of ships. And last not least, increase what we call the operational excellence, which is using digital technologies to do things better, faster, quicker and cheaper. So now going to the market or to the demand. Ascenz Marorka operates in four segments. So, this is our segmentation of the market. The first one is what we call the vessel performance management. These are a set of tools that can be applied to any ship, and that helps. This is actually a decision-making support tools to, for example, better decide when to clean the hole, the propeller, how to use the engines, et cetera, et cetera. And this combines very well -- can be combined very well with the voyage optimization, which is put in all kind of advice into the passage plan of a ship to capture these opportunities to reduce cost, improve safety. And that is very, I'd say, beneficial to the crew because they have everything they need into their passage plan is like ways that you use actually in your car. But for the ship with all kind of advice that can help you better operate your ship. And these two segments, in particular, represents the highest potential of growth, and we'll come back to that later. And traditionally, we have been operating into other segments, of course, LNG, which is -- we use that to kind of convey or transform GTT expertise into digital tools in the hands of our customers and Electronic Fuel Monitoring system are let's say, sophisticated tools to help us act as a third party of confidence between the parties, let's say, the charter, for example, and ship owner by providing quality and trustworthy data for them to talk about the fuel consumption and settle all kind of contractual discussions that they can have regarding the performance of a ship. In terms of market value. So today, we operate in a market that we can value to EUR400 million by 2030, and that market from now until then is expected to grow by 12%. And if we take a step back and look at adjacent solutions like the digital navigation tools that we don't address today, but we might address in the future, that potential market potential can grow up to EUR1 billion. And if we even expand further, and this can happen with organic development or targeted M&A if the opportunity, of course, arise, we can bring that market potential, let's say, to EUR1.8 billion, up to 2030. We serve, as I said, the most dynamic segments of that market, and we look at that in the numbers here. So, if we go back to the segmentation actually, that I mentioned. For LNG, we look at that segment more from a strategic point of view than a market value. So actually, the markets, let's say, the growth of this market or the value represents up to EUR15 million. But beyond the value of that market, it is very important for GTT to be present there because it bridges our expertise and our customers’ expectations in their daily operations and help GTT remain relevant in its innovation. EFMS will grow up to EUR70 million with a yearly growth of approximately 9%. And as I was saying, vessel performance management and voyage optimization alone or combined together are expected to have the highest growth and reaching a value -- a combined value of EUR380 million up to EUR230 million. So now looking at our own performance in this market. We have been growing with a, I would say, fairly impressive growth rate of 59%, much beyond what the market has been experiencing as a growth. So, for the last 3 years, we have been growing with an average of 59%, reaching a revenue -- total revenue of EUR15.6 million last year. Last, I would say that we are -- I mean, given the numbers, we are very well positioned and confident to capture a large value of this market potential in the coming years. Last, I would like to highlight some key events from last year. Please keep in mind that these are only examples. We don't communicate on all the events for many reasons. Some of our customers are not very talkative when it comes to this kind of contracts. But we highlight here a few items that can give just illustrate what we are doing, especially in 2024. So, we have expanded, as Philippe mentioned earlier in the presentation, our fleet -- real-time fleet performance monitoring center, which is a center with experienced mariners looking after our customers' ships, by advising, monitoring when it comes to LNG operations or navigation or performance in general. So, we expanded that center from France initially to Singapore and probably this year into other locations, as the demand is growing. We continue to be trusted by key players in the industry. This is Lascaux is one example of a very reputed and respected ship or a Greek ship owner. We talked about supporting the core business and the sloshing virtual sensor is one of the key examples because in a very -- it helps, let's say, the industry better adopts GTT technologies, and we reduced the overall cost of ownership of our technology. And in a very conservative industry, we really believe that it takes time sometimes from the industry to adopt new innovative technology, but this specific technology has the potential to become an industry standard. And we have seen that in the FSRUs and most certainly in the LNG in the years to come, energy carriers. And last, of course, this is a key event from last year, the acquisition of the Danish company called Vessel Performance Solutions, which represents an important, let's say, opportunity and for synergies, commercial synergies and technical synergies, and we have seen that already materializing into commercial success, as I have shown in the numbers from last year.
Philippe Berterottière: Thank you very much, Anouar, for this extensive speech on our digital activities. Well, I would like to talk to you about Elogen. In Elogen, we achieved a turnover of EUR11.4 million in 2024. We have currently an order book of EUR4.4 million, 171 employees. We had an EBITDA loss of EUR33.3 million. We've conducted a strategic review. And now we are working on a new business model centered on R&D and licensing. And we are envisioning a redundancy program of 110 positions. We've suspended the construction of the Gigafactory in Vandome. Now I will hand the floor to Thierry Hochoa.
Thierry Hochoa: Thank you, Philippe, and good morning, everyone. Now let's move to the financial part of the presentation. As you can see, our core business order book, which a record level at 332 units at the end of 2024. What does it mean the 332 units in terms of consumption, in terms of flows and in terms of revenue? First, it means EUR1.9 billion revenues already secured and as mentioned in the graph at the bottom left. This means an exceptional year in 2025 with EUR675 million for -- from the core business alone, as you can see in the graph at the bottom right. And this means a stronger visibility for GTT in the years to come. Now moving to our revenue. Total revenue amounted to EUR641 million in 2024, up plus 50% in this year compared to last year, driven by new bills, and higher number of LNG carriers under construction in 2024, driven by Aetorizer's revenues as well amounted to EUR11 million in 2024 compared to EUR10 million last year, driven by digital activities amounting to EUR16 million plus 85% compared to last year. And finally, driven by services as well were up plus 18%, thanks to development of our studies, thanks to certifications and thanks to services to vessels in operations. Let's continue with the other main aggregates of the P&L, in particularly EBITDA and EBIT, you can see the intrusive increase respectively, by 66% and 68% for both compared to last year. This is mainly explained by the increase of revenue of GTT's main activity explained by the absence of significant delays in ship construction schedule as well, and explained by a good cost control management. As a consequence, the EBITDA margin amounts to 61% in 2024, compared to 55% in last year. one or two additional comments on the CapEx investments and our free cash flow. Our CapEx investments increased linked to the rehabilitation of some of our headquarters buildings linked to the acquisition of VPS mentioned by Antoine earlier, and linked to new minority stakes in the framework of our GTT venture capital mentioned by Jean-Baptiste in the innovation part. Regarding our free cash flow at EUR338 million which significantly increased by 54% compared to last year. Thanks to our strong activity and these robust financial figures. The dividend distributed will represent 80% of the consolidated net income as announced in our guidance last year. This still represents 91% of cash flow generated by GTT in 2024. This represents EUR7.50 per share, up 72% compared to last year. I would now hand over to Philippe for the conclusion.
Philippe Berterottière: Thank you very much, Thierry. So, some guidance for 2025. Our revenues should be between EUR750 million and EUR800 million. Our EBITDA should be in the range of EUR490 million to EUR540 million. And our dividend should be -- should amount to at least 80% of our consolidated net income. Well, now we are going to be very pleased to answer to your questions. There's plenty of questions.
Operator: [Operator Instructions].
Jean-Luc Romain: Jean-Luc Romain at CIC Market Solutions. I have two questions, one on GTT, one on Helogene. on GTT. When do you expect to be able to have your first sales of your new technologies, GTT next one and maybe the 200,000 LNG carriers? Do you expect others this year or maybe in the next -- in the coming years? On the very interesting chart you mentioned, we see that you need 1.2 LNG carriers from the Middle East to Europe or to the Mediterranean through the Suez Canal. How many -- does it change the second close, which was the case in the last few months? The question about Elogene is, could you give us examples of patents of technologies, you could license and to what kind of clients, please?
Philippe Berterottière: Okay. Well, thank you for these questions. Next one, we've begun the marketing of this technology. So, I don't know whether we can expect that in 2025. But I would say that the first order should come in the next 2 years. It's a quite long process because it's really a different technology compared to the previous ones. And that has to be studied with the shipments in order for them to study how they are going to produce that. It's not as the other technologies, which are evolutions of existing technology. So, it's very much a matter of engineering tools for shipyard. And it may take a bit of time. So, I will say, in the next 2 years. For the 200,000, it's a design. It's an evolution of our design. So, it's something which should be possible in the next 12 months. For Elogen, well, we registered several patents. In fact, last year, we had 4 patents, the year before several, which are not counted in the GTT patent, by the way. So, on top of the bulk of the GTT patents, you know that we are the intermediate size company, which is registering the largest number of patents by far in France. And these patents are very much linked to the way you optimize the size of electrolyzers. In fact, the electrolyzer is something which is fairly big. And we noticed that electrolyzers may be located in industrial places, which are fairly congested and optimizing the design may be quite interesting. There are also some patents on some parts of the electrolyzers on which we are working for some years. And where we improved significantly these parts and then means a lot in terms of reliability and efficiency. That 80% of the cost of green hydrogen is coming from the cost of electricity. So, if you have a more efficient electrolyzer, you can have a more competitive price of the green hydrogen and a better total cost of ownership for the user. So, we worked on that, and there are several patents there. Thank you. Another question?
Jean-Francois Granjon: Jean-Francois Granjon. Three questions from my side. For Elogen, so you announced some cost-cutting program. We should be integrated in 2025 some exceptional costs on the P&L, to assume these new measures? Regarding the core business, you have some -- we are very confident to have some new FIDs until the end of this year, mainly coming from the North America. For this new FIDs, do you calculate the numbers of new vessels needed for you and for sure, the coming orders expected coming from these new FIDs in the coming years? On the last question, concerned the Digital Services. We see a strong growth for the sales, we will reach EUR15 million this year, so a strong improvement. What do you expect in terms of growth for the coming years? Do you have some targets in terms of sales for this new business?
Philippe Berterottière: Well, I will let Thierry answering on the exceptional costs on the P&L. But I would like on the FIDs in 2025, we gave you basically the way of computing the number of ships needed. You have to say that also shipping is something which is facing the state of the world. All of a sudden, the Canal of Suez may be closed. All of a sudden, Europe may be very cold and may need a lot of energy. All of a sudden, there is no rain in Central America. And Canal of Panama may not work because you cannot have enough water for operating the canal. So, you need some kind of flexibility there, if all these factors are coming at the same time, shipping is a bit in demanding, challenging situation. And that's the purpose of the spot market. But basically, we are on these figures of, let's say, 2.2 ships between Gulf of Mexico and Northeast Asia. I will call you that Northeast Asia is representing whatever Europe is representing 70% of the LNG consumed in the world. So, it's a bulk of the market. And if you take the other way, it's much more important. that's the figures which are assessed. It's assessed on the long-term contracts, that projects, energy projects may sign. But there are also in these long-term contract’s buyers are not necessarily linked anymore to a destination close. And they may -- we direct their cargoes to other directions. So, they need flexibility. So, it's a bit difficult to commit firmly on the number of ships which are going to be ordered once a project is launched. And it's something which has changed significantly over the past 10 years. While digital services are going to continue to grow. You saw the explanations from Antoine was very bullish, is delivering 2-digit growth years after years. And we are working on new things, we are now counting the number of ships in terms of thousands. So, we are not in the same league as before, we are already in a different league. And we expect to continue to deliver 2-digit growth and beyond 10%. It's our target. Antoine?
Anouar Kiassi: Yes, regarding the exceptional cost for the measures announced at the beginning of February for Elogen. We have three main impacts. The first one is linked to the employee protection plan. And on this part, negotiation with the personal representative bodies is in progress, and we cannot disclose any figures on these aspects. The second part of the measure is a Gigafactory in Vendome. And today, we are under discussion as well with authorities to have a view -- a global view regarding the future of this Gigafactory. But you need to understand that in our balance sheet, we have EUR20 million is for this Gigafactory. That's the risk that we can have regarding the negotiation, but is a P&L impact, not a cash impact. And the third one and the final one is the subsidies because we receive in 2023, EUR17 million and last year, EUR16 million based on eligible cost. And we are under discussion with authorities as well to secure this subsidy -- these subsidies because we are continuing our R&D program in our new business model for Elogen.
Philippe Berterottière: Thank you. Yes, Kevin?
Kevin Roger: Kami Roger from Kepler Cheuvreux. I have one question on your cash position because you start to be quite very rich, almost EUR350 million. So, what's your strategy with that? How do you want to allocate this cash in terms of M&A, shareholder whatever, but an update on this huge cash position? The second one, so maybe first, we'll come back, Philippe, and I'm not pushing you out asking the question, but it's just, the Board has said that they are now initiating the research for new CEO. Can you provide us or share with us some of the mindset of the Board in terms of what kind of candidate they are looking at? Is it someone from the inside, from the outside? So just maybe some color on the mindset of the Board on this question, please?
Philippe Berterottière: Thank you very much, Kevin, for these questions. So, the first question about our cash position. Well, we have a strong cash position, but we built this cash position over the next -- over the past 10 years with an approach on our costs. And also, where we've been very cautious and also in being very generous with our shareholders. I remember that never ever since we are a public company, we went below the 80% ratio. Now we are in a position where we can envision moves. We do that with GTT Ventures, where whenever we see something which is promising, we are investing. We -- in fact, all the companies in which we've invested in GTT Ventures are doing well. So, we are selecting them. We can see that in the acquisitions we've made, VPS, for example, in 2024 is behaving very well. So, we may have some kind of moves, but we are still the same. I mean we will prepare these moves very carefully. We will make them very carefully. And it's not because we have a strong cash position that we will make unreasonable moves. Well, not particularly contemplating buying back shares. We think that we have things to do in this industry in the long-term evolution of the energy industry, the maritime industry, in the 21st century there are things to do. We think that the moves we've made where we were able. So, we have some capacity, and we will use it carefully. On the mindset of the Board, you know that the Board has had discussions, any Board discussions, the mindset. But what is said in the Board should remain in the Board. So that is confidential. And I'm very sorry, Kevin, but I cannot share that with you. Any other question?
Christian Maugier: Christian Magee. Two questions. First, I see that there was no new order for onshore facility in last year. Did you lose the contract? Or is it just that there were no new commissioning of our new inquiry for such plans? My second question is, is there any new development with respect to hydrogen transportation? I know that you got some approval from regulatory authorities for the technology to transport hydrogen. Is there any new development there? When do you see the first ship to transport hydrogen being in operation?
Philippe Berterottière: Well, thank you for your questions. Onshore facility, as far as I know, there were no onshore tanks ordered in 2024, at least we were not in any competition. So, we did not lose anything. So, it's a demand which may vary. We were not there were in 2024. Hydrogen transportation. I will say and probably following the news, you can see that the hydrogen development is taking longer than expected. And so, the need for hydrogen carriers, liquid hydrogen carriers may slide a little bit way. So, I don't know exactly when we are going to receive a next order. I think we should have said by the very end of the decade, I would say that now it's probably in the next decade. Anyway, we are keeping on working on that. Our analysis on hydrogen is coming from the fact that we do need to replace gray hydrogen. Gray hydrogen now, it's representing 3% of the CO2 emissions of the planet. It's huge. It's as much as the shipping industry. And shipping industry, you can see all the efforts we are making in order to reduce these emissions. So, we could do the same. We could reduce the hydrogen emissions switching to green hydrogen and maybe producing green hydrogen in places where electricity is very affordable and then transporting it on hydrogen carriers. So, the technologies are more or less there. And in a certain way, what the planet did for the gases attacking the ozone layers 30 years ago. We could do that for gray hydrogen used in the industrial processes. So, it will come. This -- the technology we have is great is in a certain way, fascinating. And we are going to continue to work on that on that, taking into account that maybe the demand will be a bit later than expected.
Unidentified Analyst: Thank you very much for the presentation. My question is on the shipyard capacity. How confident are you that the Chinese shipyards will be able to ramp up capacity and put safe ships on the seas? The other is on again, the constraints, technical constraints for the non-LNG sea part of your business, so the ULECs and others, is it as difficult? And is it -- is shipyard capacity as much a constrained for that, how much profit do they make on those ships and what are the incentives to ramp this up if Ethane Carriers becomes the market that the projections led us to believe? And also, on your projections, you -- for LNG sea, do you include the demand coming from LNGC as fuel? Or that will come on top of your existing projections?
Philippe Berterottière: Okay. Thank you for the questions. Well, on the shipyard capacity, I would like to share with you that in the last years, we passed from one shipyard active in China for 20 years or a bit more to five shipyards active in China. And this jump in a matter of a couple of years, has come very well. And frankly, we've been impressed and even amazed by the capacity of the Chinese shipyards to jump into the erection of this complicated system, which is a membrane tank. We've been impressed by the people, they've been able to gather for meeting this challenge. And we've been impressed by the quality, at least up to now. The quality of the ships built the tanks built in China. So, I would say that from what we see most probably, if they want to further increase their capacity, they are going to be in a situation to do so. Your second question about the technical constraints about ethane. Well, it's a liquid, which is at minus 96 degrees and which has a higher density -- density of about 0.6 compared to ethane 0.4, it means that the loads for liquid motions inside the tanks are higher. So, it's a different optimization. And then you have additional constraints because you have very few export points in the U.S. You have to say that in the U.S., you receive gas in the export terminal, and you have to liquefy the gas at the export terminal, at the same time, you're loading the ships. So, you have to design ships which are we are coping with the physical constraints of this terminal, key side draft and so on. So, you have a set of constraints, which are very particular. And the beauty, I would say, the beauty of GTT, the -- where we've been not too bad, is that we've been able to react very quickly to these constraints in designing optimized their ships, coping with the physical characteristics of ethane and proposing to owners very optimized designs. On LNG, the -- I don't remember exactly what was your question. Yes, for Energy-as-a-fuel. Well, mainly our projections are coming not so much from the demand. We led that to big guys like Shell or BP, but much more from the supply side. It means from the LNG plants, which are going to be decided, what is going to be the capacity in terms of 1 million tonne of LNG and what are going to be the destinations. So, the shipping density. So, our projections in the future are mainly coming from that.
Unidentified Analyst: I just have one follow-up on the relationship with the Chinese shipyard is the protection of your IP. What would the role of insurance companies, the final customers and other players in the value chain, could they help you in kind of defending your IP in case of any risk on that side and also on your side in terms of the legal requirements and things you're doing to protect that?
Philippe Berterottière: Well, the beauty of ships is that it goes in different places. So, if you have a copy somewhere, the operational capabilities of the ships is going to be decreased because you don't have to rely only on one country in the world, you may rely on different countries. In addition to that, it's a big business. It's shipping big business, ships are costing a lot. You need to finance that. If you go in an LNG facility, the LNG facility that the largest industrial projects in the world. Investments, it's the units, it's in tens of billions of dollars. And so, there is no matter of cheating. I mean project financing, it's finance, it's a long-term commitment from buyers. And you cannot say -- you cannot use copied patents. So, we are paying attention to that, of course. And I will say that on top of our patents, there is the service we are providing. We know what we do. We know very well what we do. And owners, they appreciate us very well. they appreciate us not only at time of delivery, but all along the life of the ships. And that is something which is hard to replace, this expertise and this long-term commitment, the fact that they know that there are people somewhere in the Paris region who can answer their problems, to their issues and whatever the time is, whatever the day is, and all along the years and for the life of their ships. So that is something which has a lot of value when you're operating a ship on the Seven Seas. Any other questions?
Anouar Kiassi: Yes, there are questions online.
Operator: First question from the conference call is from Richard Dawson, Berenberg. Please go ahead.
Richard Dawson: Good morning, and thank you for taking my question. And two left for me and maybe just a follow-up on the ethane carrier market. Could you talk maybe about the competitive dynamics of the ethane carrier market? Are there alternatives to GTT's membrane design, for example? And when you look at constructing these vessels or when partners construct these vessels in shipyards, do they use an LNG carrier slots? Or are they constructed alongside an LNG carrier? And then secondly, on the Services business, thank you for the additional details on the split out of Digital and Services. You mentioned a 48% gross margin in Digital for 2024. How do you see that developing as you sign additional contracts? And maybe could you provide the same gross margin figure for the other part of the Services business? Thank you.
Philippe Berterottière: Okay. Well, thank you very much, Richard for these questions. Well, on the ethane, the competition is coming from the Type B, it's a cube but very -- with a very thick plates of stainless steel. It's heavier. So, as it is significantly heavier there is an issue about draft for going in the terminals where you can get ethane. It has also an issue about boilers, the space in the hull that you need for a B type tank has to be larger. So, it means that what we call the block factor, the width of the ship is going to be larger. So, the economics are not going to be that good, and the operational capability of the ship are not going to be as good. Still, at the end of the day, it's the same issue as the one I was referring to for the LNG as a fuel. For the shipyard, it's very easy. You build a hull, you build or a subcontractor is building the tank somewhere else. And then you lift the tank, you post it inside the hull and you connect it. For us, you have to install the membrane system for days into the hull. So, it's very much a matter between the easiness for the shipyard to install a B type tank and the need or the conviction that the owner has that a membrane system is going to be much better all along the life of the ship. So, we have very simply in order to convince people, we have to enter into the economics of the operations of ethane carriers with membrane. And we have to convince owners of our superior figures, and that's what we do. Slots between LNG carriers and ethane carriers, that's about the same even though for very large ethane carriers, which are now at about 100,000 cubic meters. It's a bit smaller. So, in the very large stocks, you can see in Asia, they are playing kind of Tetris game. How you can squeeze several ships in the docks at a given time, and you have to maximize the number of ships in the docs. So maybe a smaller ship may fit quite well while you are building a big LNG carrier. And at another time, you don't have the demand for LNG carriers, you don't have the orders, so you can build a certain number of ethane carriers or very large Ethane Carriers. That's how the shipyards are playing with their facility, basically the dry dock. And of course, that's something which is followed by the industry, followed by brokers, but followed by us what are the capability of the shipyards, what are the capacity to offer given slots. And they play with that in order, of course, to maximize the number of ships they built to maximize their revenues and possibly to maximize their margin. The margin additional, well, it depends very much on the demand at a given point of time, the price of some ships may be very high. I see that, for example, last year, yards were selling very large ethane carriers at a bit more than $200 million. It's twice more what it was 10 years ago. And I think inflation did not explain all this difference. Thank you. Another question?
Operator: Next question is from Guillaume Delaby, Bernstein. Please go ahead.
Guillaume Delaby: I think all my questions have been answered. So, I'll turn it over. Thank you.
Operator: Next question is from Daniel Thomson, BNP Paribas Exane. Please go ahead.
Daniel Thomson: Good morning. Thanks for the very detailed presentation. Lots of helpful numbers to work through there. Just two questions. Firstly, on the order book. So, we have LNG carrier deliveries ramping up significantly again in 2025. Qatar Energy seems to be coming to the end of its big shipbuilding program. So, I'm just wondering on the order book from here, do you expect to kind of maintain the level of the order book? Or do you see any potential for growth? Maybe if we also consider the other vessel types. Second question is on LNG as fuel and the market share there. Can you tell us, without naming the clients, of course, how many separate or discrete clients, you have received orders for? I know the orders tend to be lumpy. I'm just trying to understand whether we need to see breakthroughs with new clients, maybe non-European ones to see market share rebound from here. Thank you.
Philippe Berterottière: Well, on the order book, I would say that when we talk about energy, we are talking about long term. The -- I was saying that the investments in LNG plants are the largest investments on the surface of the Earth. And they are amortized over a very long period, at least 20 years and sometimes more significantly. So, I would say that, of course, you would like to have assessments of what is going to be the demand in a particular year. We saw what are the estimates of Shell and BP. We see that there are many, many projects which are in the offerings. We see that finally, when we look at the global energy mix, well, we have to reduce our reliance on fossil fuels. And the paradox is that the best way to do so as LNG is available -- as gas is available, as gas is affordable, it's to switch to gas and to switch to LNG. LNG is still a smaller portion of this energy mix. So, we are quite convinced that it's going to continue like that. And meanwhile, we have a strong order book. We can see that this year, we've received already, well, a flow of orders. So, we are going to see that. Of course, the new administration in the U.S. is very favorable to LNG, to gas and LNG. So, let's see what the demand is going to be. We don't have assessment on whether it's going to be larger, but we are fairly convinced that there is going to be a strong demand over the years to come. On LFS market, while we obtained 12 orders last year, we obtained already 12 orders this year. We are keeping on improving our designs, looking at what we can offer in order to beat something which, in our opinion, is not fully optimized. And it's -- first of all, it's something which is very exciting for our engineers to design something which can better satisfy the end customer with the owner. So, we don't look at orders coming from a particular part of the world. We are a global company. We are talking to all the owners in the world. And I guess we are going to be able to convince more people in the years to come. Thank you. Other question?
Operator: Gentlemen, there are no more questions registered at this time from the conference call.
Philippe Berterottière: Jean-Francois Granjon?
Jean-Francois Granjon: I just want to come back on your guidance for 2025. So, we can see a strong increase in absolute term for the EBITDA, and this is the same for the margin, up to 66% versus 60.5% last year. So, do you integrate a reduction of the losses from Elogen in this expectation or this expectation is coming only from the strong growth expected for the core business?
Thierry Hochoa: Yes, in our EBITDA guidance, we have integrated the EBITDA from Elogen, definitely. I cannot provide the level of EBITDA for Elogen because we do not guide individually, but we have a global guidance, but we have integrated the EBITDA result for Elogen in this guidance. We have -- this year, we have -- it's included and the next year or the 2025, we have included.
Philippe Berterottière: No more questions. Were any -- no written questions? No. Any other questions in the room? No. Okay. Thank you very much. Thank you.